Peter Harrison: Good morning everybody and welcome to the Schroders 2017 Full Year Results. Thank you for making the effort through blizzards on the first day of spring. We've got quite a few people on line so if we could be disciplined with microphones later on that would be very helpful. We're going to do the normal running order this morning. I'm going to take you through the high level numbers, Richard Keers our Finance Director will then take you through the detail, and I'll come back and talk about the outlook and one or two strategy points. But overall we feel these were a strong set of results. We've delivered 15% increase in net income to 2.06 billion. Strong cost control has meant that our cost income ratio has fallen from 64% to 61% and that led to a 24% increase in net profits after exceptional items to 800.3 billion pounds. Assets under management hit a new high at 447 billion when you cleared assets under administration and our net new business was 9.6 billion pounds for the full year. We declared a full year dividend of 113 pence which was up 22% on the previous year. Would like to now just quickly go through the flow numbers in a bit more detail since that's important to you. Overall 9.6 billion of new business and one of the features of these results is that it spread pretty broadly across all over the firm. So institutional saw inflows of 4.2 billion, intermediary of 3.4 billion, and wealth management made an important contribution of 2 billion of net new business. One of the things we talked about at the interim stage was a very large outflow in sub advisor and we said we were going to give you more detail on the sub advisory elements of our business. If I could just now split out those sub advisory flows, you can see that that 5.8 billion pound outflow in the U.S. which occurred in the first half were actually over for the full year. We actually had outflows from sub advisory of 4.2 billion which meant that the branded flows were rather higher than shown on the previous page. Branded flows were actually 7.6 billion which was the highest level we've had since 2009. I think big mandate losses will always be a feature and internalization is definitely a theme in the marketplace. But the resilience of the business with intermediary institutional and wealth management all contributing was an important part of the performance. If we just now look at flows by asset class, again the same pattern emerges. Equities saw the small inflow, fixed incomes saw inflows, multi assets saw inflows, and private -- broken out as a separate segment also saw inflows. And if I just look at those split for you between institutional intermediary which you may find of help, equities was a small inflow of 0.1 actually masked at 3.1 billion flowing into intermediary and 3 billion out of institutional which large chunk of that relates to our [indiscernible] which sold 2.7 billion pounds out particularly in Australia where the market dynamics are certainly changing. But we saw good inflows particularly in global equities and in European equities. Fixed income, the flow of 3.5 billion pounds was split at 0.7 billion into institutional and 2.8 billion into intermediary. And really there are all those fixed income business contributed particularly the credit areas and emerging debt but a good contribution. And in the multi-asset 1.5 billion pounds of flows there are 4.6 billion of institutional flows and 3.1 billion out of intermediary which is that big mandate we talked about earlier. So there are important inflows particularly China in risk mitigation and in total return mandates. And finally private assets which was 1.9 billion of flows into institutional mandates, 1.6 into intermediary. But you can see that a number of areas of firm contributing. If I just now look at that by region to give you a flavor of that, the UK saw 3.1 billion of flows split 1.2 institutional and 1.9 intermediary which was a good performance in the UK. Europe another strong year, 4.3 billion of inflows, point 0.4 out of institutional but 4.7 into intermediary. And really good performances Germany, France, Spain, Italy really across the piece. We did see an outflow of note in Switzerland and outflow of note in [indiscernible] but broad performance across Europe as a whole. Asia was somewhat more muted than normal 0.9 billion of inflows of which 0.8 were in institutional. Pleasing for me was that Japan and China which is strategically very important to us saw cumulative inflows of 3.3. But these Australian dynamic sort of outflows are 3.7. So it is a quite a big barbell within Asia between developing and a lot more mature markets. And then finally Americas which saw 0.7 billion out of 2.6 billion for institutional but 3.3 out of intermediary. And again that refers to that mandate. The underlying dynamic there I think was very pleasing because if you have a 5.8 billion pound mandate out at the beginning of the year actually to end up 0.7 down was pleasing. Half have delivered well our retail intermediary partnership. Also the institutional business delivered well, so we were pleased with the progress we're making in the U.S. [Indiscernible] I will be back later, what I am going to do now is hand over to Richard to take you through the details of the financials. 
Richard Keers: Thank you Peter and good morning everyone. As you just heard 2017 has been a strong year for Schroders. Peter has covered growth and longer-term strategy. I will now explain how this translates into the 24% increase in profits that we have reported today and in headlines how I see this unfolding in 2018. So let's begin with how the results break down and where the growth has come from. Net income increased by 276 million or 15% to 2.1 billion driven by the growth in our AUM which closed this year up 13% at 447 billion and also as a result good performance fees. We have a total comp ratio of 43%, that's one percentage point down due to changes to our compensation policy for material risk takers. The effect is to reduce the counting charge in 2017 and I will explain how you should think about this in a moment. Our total cost ratio has reduced to 61%, that's one percentage point down due to comp costs and a further two percentage points down due to other costs. These other costs are in line with guidance I gave you allowing for acquisitions. So as you can see there is a strong revenue growth driven by AUM and performance fees combined with good cost discipline that has driven the 24% growth in profits to 800.3 million before tax and exceptional items. We have a full year tax rate of 21.4% which is higher than the 20.5% we had last year. The increase is mainly due to a reduction and expected benefit of our U.S. deferred tax asset. This is a one off adjustment and comes from the U.S. government's decision to lower the corporation tax rate from 2018. It means our deferred tax asset is worth less and we have taken a charge now. However, we will see the benefit of a lower U.S. tax rate in the future. Our forecast is for a lower headline rate in 2018 possibly between 20% and 20.5% but as you know this does depend on the mix of profits between the various tax jurisdictions. The tax charge for 2017 of 172 million takes profit after tax but before exceptional to 629 million with exceptional items of 34 million which many of you relate to the amortization of intangibles. That brings us to profit after tax of 594 million, an increase of 21%. Right, let's start by looking at what's driven increase in net income. As I've already mentioned that -- I am sorry, as I have already mentioned AUMA was up 13% but the driver of most of our net income is average AUM and that was up a little more at 19%. That is driven by the impact of four things; acquisitions, investment returns, FX, and net new business. So let's see how each of these four factors has affected income. Starting with acquisitions, these increased our average AUM by 10 billion, that's the acquisitions this year and the full year impact of the 2016 acquisitions which together increased net operating revenue by 57 million. The next two factors investment returns and FX increased average AUM by 53 billion increasing operating revenues by 193 million. Looking at the two components investment returns have brought strong growth with related increases in revenues being only partly offset by changes to fee structures. The net effect is higher revenues of 125 million. This year on average Sterling has been weak compared with the whole of 2016 and as a result we saw an increase in our revenues of around 68 million. Finally we generated 9.6 billion of net new business in 2017. The revenue from this and the full year effect of 2016 flows has increased this year's revenues by 10 million. But as you just heard me say for new business we focus on annualized revenues and the flows this year have generated 63 million of annualized revenue of which 24 million is in these numbers. That's a little higher than the revenue number I just quoted which is because the impact of 2016 flows has partly offset the growth in this year's revenue. In 2017 we also generated strong alpha performance resulting in performance fees of 78 million, an increase of 37 million on 2016. As you know performance fees are difficult to predict but at this early stage of the year we are budgeting 40 million for 2018. Bringing this all together means a 297 million increase in net operating revenue that's 17% up. Lastly other income decreased by 21 million, this is due to one off gains in 2016 partly offset by 6 million of income from assets under administration. The overall outcome is a 15% increase in net income to 2.1 billion. Let's now look at this segment and channel. Starting with institutional, net operating revenues were up 122 million to 814 million with closing AUM at 256 billion up 13%. 30 million of the revenue increase is due to performance fees which were 58 million, the remainder was driven by higher average AUM which was up 37 billion with revenues up 91 million or 14%. Net operating revenue margins excluding performance fees were down a little from 32 basis points to 31.5 basis points, that's a bit better than the guidance I gave you and let me explain what has happened. We are seeing continued institutional demand for lower margin, fixed income, and multi asset products. Although these flows were lower margins they still generated 12 million of annualized revenue growth of which around 2 million is included in these results. So that's good for revenues. They have however pulled down our revenue margins a little. The decline has been partly offset by the acquisition of Adveq which has added 6 billion to our AUM at the end of July. And as you'd expect of a private equity business it is at a higher revenue margin. So there are number of factors impacting margins but at this stage we still see less than a basis point decline in 2018 so still around 31 basis points. As always this will be highly dependent to markets. Now let's turn to intermediary. Net operating revenues were up 17% to 929 million with AUM of 134 billion at year-end which is up 12%. The increase in revenue was mainly driven by an 18 billion rise in average AUM with revenues up 124 million or 16%. We also earned 20 million of performance fees in 2017 which is a year-on-year increase of 8 million. As we have heard from Peter we had net new business of 3.4 billion with demand for higher margin products. What is important for us is that those net sales have increased our annualized revenue by around 44 million. Of this about 19 million is included in 2017 revenues with the rest coming through in 2018. So unlike institutional net new business has increased our margins and importantly does bring strong annualized revenues which is a key focus for us. To help with your modeling let's look at net operating revenue margins which were 72 basis points for the year excluding performance fees. That's a one basis point decline over the year and it's two basis points better than I expected at the half year. The reason is that higher margin net new business combined with strong equity markets pushed up the higher margin business as a proportion of AUM. The effect was to offset the declines they set out a year ago. Despite margins holding up this year we still see longer term pricing pressures and as a result our margins may fold a little in 2018 by perhaps a bit. But again this will depend on how our business mix changes from net sales and markets. Moving to wealth management. Net operating revenues were up 20% to 267 million that was mainly driven by 42 million increase in management fees which were up 26% to 204 million. Benchmark Capital contributed 10 million to that increase and you can see on the slide other income was also up a little. Revenue margins excluding performance fees were 61 basis points, that's down four basis points consistent with the guidance I gave you and it's due to Benchmark. Annualized revenues are also a key focus here. The wealth management business has generated around 7 million on 2 billion of net sales with around 3 million included in these results. For your models we expect margins to be around the same level in 2018 but here the business mix, the level of transactional fees, and the interest income will all have an effect. At this stage we see no reason for you to change the revenue margins for your models. With that I am concluding my comments on revenue. The rest of my presentation is focused on operating costs and group capital and I will start with operating costs. As you know comp costs are the biggest component of our cost base and make up around 70% of our costs. This year we have made changes to our remuneration structure for employees who are deemed to be material risk takers under the new registry requirements. This required us to increase the proportion of their pay that is deferred. The increase in amounts deferred this year has reduced our total comp ratio by one percentage point. This is an accounting benefit and it would disappear over two years as we build up performance years with greater deferral. The outcome is a total compensation ratio of 43%. We are expecting this to increase to around 43.5% in 2018 as this accounting benefit unwinds. Non-comp costs have increased by 31 million in 2017 to 387 million, that's slightly higher than guidance due to our Adveq operating costs. Managing a successful balance of controlling costs whilst investing in growth opportunities is vital for our long-term success. As a result we have been able to reduce our total cost ratio by three percentage points to 61% in 2017. As you've heard from me before our focus is on investing for future growth in technology, in accommodation, in our people, and in acquisitions. In 2018 we will see some important changes being realized with further investment for the future. This we've reflected with some growth in our cost base and it's worth taking a moment to give you some more color to help you understand this. Starting with acquisitions, we will see an increase of around 10 million as the full year impact of the transactions we completed in 2017 comes through. Both Peter and I have previously talked about the investments we're making in technology and key to our long-term success is our new front office investment platform which will go live later this year. This is an exciting time for Schroders and we expect to see longer-term benefits both to the way we operate and to our overall cost base. For now in 2018 we are anticipating increased technology costs for around 25 million including dual running costs until legacy systems are decommissioned. As you know the group is growing significantly in recent years. Profits have more than doubled in the last five years from 360 million in 2012 to over 800 million this year. This growth is underpinned by our people and headcount has increased by around 50% over the same period. With more people comes a need for more space. In 2017 we moved into new offices in New York aligned with our growth strategy and in 2018 we'll be moving into our new headquarters in London along with changes in other locations around the world. As a result costs are going up by around 20 million but this just reflects the growth we have seen and expect to see going forward. Similarly other costs such as marketing, VAT, and people rated costs are moving in line with our increased operational scale. Finally as we all know registry demands continue to be significant. This includes paying for research but this will not be material. Bringing this all together we expect to see non-comp cost to be 450 million in 2018. Finally we're reporting 35 million of exceptional operating expenses. These are primarily acquisition related costs and they include amortization of inquired intangibles. We are budgeting around 30 million of exceptional items in 2018. Now let's turn to the last section on capital. We continued to maintain a strong capital position but equally we remain focused on making our capital work harder to support our future growth. Total capital increased by 318 million to 3.5 billion at year-end. You can see in the slide the two views of our capital that I took you through at the half year. I will now take you through the more significant movements. Other items increased by 0.3 billion to 1.1 billion. The increase is mainly driven by the growth in our pension scheme surplus and due to acquisitions. Looking at our pension surplus first, we've seen this grow from 67 million five years ago to 163 million at the end of 2017. That's driven by the out performance of our asset portfolio relative to changes in the value of liabilities. As you know we manage these assets. During that same five year period we've seen investment returns of 457 million on opening assets of 777 million despite also divesting in -- assets to derisk the portfolio. At the same time we paid benefits of 242 million. The other reason other items done is due to acquisitions which increase goodwill and other intangibles by 230 million. It is the combination of acquisitions, increases to our ceiling [ph] current investment, and strategic spend on our property state and technology assets that has reduced our liquid investment capital which you can see on the right hand side of the slide. As you would expect our registry requirements have also increased as the business is growing. That means our capital surplus after deductions is 1.2 billion that is slightly lower than the figure for 2016 and it's due to investments we have made. You can see that both our capital surplus and our liquidity are managed carefully with the night enabling and sustaining our growth agenda. Overall we continue to maintain a strong position and I see this as a positive. So in summary it hasn't been a bad year. Net income was up 15% to 2.1 billion. Our good cost discipline has delivered a total cost ratio of 61% and when you put these two factors together it means a profit before tax in exceptional items of just over 800 million which represents a 24% increase. That in turn equates to a 22% increase in basic EPS before exceptional items to 226.9 pence reflecting this performance and in line with our progressive dividend policy and a payout ratio of around 50%. We've increased our final dividend by 23% to 79 pence per share which brings the total dividend for the year to 113 pence. Thank you, that's enough from me. I will hand you back to Peter.
Peter Harrison: Thank you, Richard. Those of you who attended our Capital Markets Day will be familiar with the seven areas of growth that we outlined which I talked about a bit at the interim stage. I just wanted to revisit our progress on that because I think to my mind getting investment for the future right is absolutely mission critical to being able to deliver consistent growth. On these seven areas of expansion and investments are really important to our future growth. And just moving on the chart from left to right products and solutions, we made some changes in the management team here during the year and Charles Prideaux is now leading that group. But more importantly we've launched our strategic capabilities, we've launched about 40 new products across a whole range of areas particularly high alpha solutions areas and multi-asset. We've completed our rebranding, we've got a lot more digital presence and I think what we're seeing from these results is a number of those new areas starting to deliver good growth. And I think for me getting the right products on the shelf is mission critical. I also talked at the Capital Markets there about the importance of longevity and you will have seen in the acquisitions we've made and the development of private assets strategy that growing longevity is starting to have a real impact on our long-term growth rate. And I think that's definitely something that we will turn to again. First think [ph] of multi asset remains a key part of the market. We saw 5 billion of growth in this area despite that one of outflow and although in North America we saw marginal outflows, actually the underlying progress in that business was really very strong both on the institutional and on the intermediary side. Asia Pacific for me is about how we develop some of the more peripheral markets, Malaysia for example is an important contributor this time. But also those big markets of Asia, China standing out, and Japan where we see the changes in regulation really favoring those managers who've taken the high road. And that again has contributed positively to these results. Technology is now terribly fashionable thing to talk about but I do think it's transformational in an industry which is about data processing. Rich has mentioned we've made a big investment whether it be in cloud computing, whether it be in front office systems, whether it be in data centers, whether it be in CRM Systems but ensuring that we're match fit here is absolutely critical and I think whilst we have made a lot of progress particularly around data insights it will remain an area of high investment going forward because I think it's the area where we can really differentiate our self from the competition. The two areas we didn't talk about in detail at Capital Markets Day were private assets and wealth management. So, I want to spend a moment longer on those now. We decided this time to strip our private assets for it was going to be important part of our strategy going forward. So on this chart there is some more granularity of the areas that we're including in this. And top of the pie are absolute return funds around emerging market there and our open architecture GAIA fund range. And then you get into alternative forms, sorry more progressive forms, the first two being more alternatives with bare securitized credit infrastructure finance and insurance, securities, private equity. What's interesting about this chart that with the exception of commodities that all these areas contributed to our growth in private assets at this time in fact performed well. We saw -- we reported in our results an 0.3 billion of net new business. Actually for the year they posted 1.1 billion but we didn't consolidate the other 0.8 because it was prior to the closing of the acquisition. And we also saw some important growth in our real estate business. I think that the weight of money flowing into these markets remains a really big opportunity for us. We've launched this year what we call our alternative sales force which is a growing group of people who are dedicated to selling alternatives beyond our traditional sales force and will remain an important area of growth. And finally wealth management, and I probably put myself on the hook a little bit last time we met saying we will turn around our wealth management business. I think I'm pleased with these results and has more to go but we saw 2 billion of net inflows of which 0.9 was from the Benchmark business and 1.1 was from our traditional straight a Cazenove wealth management business. And within that the UK wealth management business of Cazenove performed particularly well with 1.7 billion of flows and that for me is the engine of growth. We partnered also our Italian wealth management business which meant some flows out of that business just once the partnership was going through. So, underlying 2 billion of inflows, we completed the whole acquisition of their wealth management business which went well with staff retention and client retention. And the Benchmark acquisition has also performed well. We saw growth of 30% plus in their EBIT contribution and their revenue growth. So across the piece for me the wealth management business is really starting fly and we've got some really important bits of the jigsaw in terms of the way the wealth management landscape is changing. So again an important part of our strategic future growth. That was all I was going to say on the slides. What I tend to do is to do some Q&A. What will we do first is we will do the people in the room, there may well be some people online who got questions in which case I would ask them to press the button and their questions will be relayed into the room.
A - Peter Harrison: If you could say your name an organization it will be great. 
Hubert Lam: Good morning, it's Hubert Lam from Bank of America Merrill Lynch. Three questions; firstly on costs you had an exceptional year in cost income at 61% in 2017, obviously things like costs are creeping up. Just wondering if 65% is still your objective for the medium term for cost income? My second question is on M&A opportunities. You have that colorful slides, slide 17 which show your diversification across the alternative platform. So anywhere within that pie chart you think you would like to grow further in given that you're already, it feels like you're diversified already but where do you think the greatest growth opportunity is? And maybe around that talk a little bit about evaluation in terms of what you're seeing in terms of M&A opportunities out there? And lastly on this recent market sentiment, obviously markets have been a little more challenging year-to-date so wondering what -- in terms of your compensations with institutional retail clients if there's anything -- any big change in market feeling? Thanks. 
Peter Harrison: Thank you, we are retailing a target of 65%. I think it is -- we are working really hard on simplification of the business and that's what a lot of this technology spend is going on. Whether or not we'll end up cutting that target as we really get down into it I'm conscious that markets are at good levels at the moment and there's an element of fixed cost in our business. But we don't let costs rise to 65% to hit the target, it is certainly the case. But we are very, very focused on -- this is a competitive market, passive growing, ensuring that we fix the roof and making sure our costs are low is an important part of strategy.
Richard Keers: So I could add, now if we're sitting here in 10 years time and we've seen significant growth in the business and we're delivering 35% profit margin, I think our shareholders have done very well. In the short-term I would hope we'll begin to beat that but in the longer-term if we are growing the business and we delivered 35% profit margins I think we'll all be very satisfied. 
Peter Harrison: I think it is a really important point. Rich and I spend our time saying that this is a revenue business. If you got 35% operating margin a pound of revenue is a valuable thing and I get slightly frustrated by a commentary which is all about cost when actually if we can grow revenues and grow longevity we're in a really good position. And that's about partnerships and good client proposition. Your second question about acquisitions, you're absolutely right, evaluations are high and that's a real impediment to -- I think we've got to look at the intrinsic value of businesses and the fact that money is cheap and prices are high is a deterrent to doing the wrong thing and we are certainly I would say again that we are not looking to do transformational transactions. You can see that the way we've rifle shot individual product opportunities or regional opportunities is much, much more interesting, much lower risk, much more culturally accretive and doesn't give any tail risks. So to my mind that's just very much in place. The second part of your question was where, the progress in space is vast and that's one of the attractions of it. For me we will look across that space. The two areas that stand out of all the opportunity for us are incrementally adding to our real estate business. I think that makes good sense. And private debt which is a huge space where I think there's more to do. But that's not to preclude that we won't do things in other areas but that they're the two areas. But I would put the rider on valuations strongly. And finally on market sentiment, I think it is a very good point that we had a ridiculous -- of a very low volatility last year. I mean no more than 3% move in any one month and every month one of increase. That now has changed but I think that what's been remarkable has been the resilience of the marketplace and I think it's settled down very quickly. I think it's fair to say we would expect to see more volatility in markets in 2018 than we saw in 2017. That's not a particularly brave assumption because I don’t think it could get much lower. But what we haven't seen is an underlying tone and tenor change. I mean I think there is still a sense that the economies are in good shape. Markets are functioning well and that underlying confidence hasn't been dented. Are there any more questions.
Unidentified Analyst : Hi, it is Charles Bennett from Barron Bank [ph]. A couple of questions just in light of your comments on markets, what portion of your fixed income held by institutional clients is by nature needs to be invested, the insurance clients or pension clients and what portion do you think is susceptible to some high reversion tools to the asset class? And second question, Lloyds Banking Group is maturing a sizable Scottish British mandate. Is it terms of process that you're looking at or is that the transparency [ph] you don't currently have?
Peter Harrison: On the -- first, you're absolutely right the fixed income market is very polarized between two groups of investors. One is those who need to hold the asset class and they mentioned their liabilities is particularly true in the insurance space. And those who are opportunistically looking to invest in fixed income. We were fortunate in building our fixed income business over the last five years and we've built it in the knowledge that rates were very low. So we have got very little exposure to products which are not more total return or entitled or opportunistic. With the exception of a credit franchise which would be damaged by rising rates and so far as spreads get widened out and underlying rates would increase then the appetite for credit would decline. I would say we got very strong performance and it delivered very well. So I think we watch it but I think the reality is two pressures there, one is underlying rates going up and the other one is huge thirst for income which doesn't go away. And so if you were to see a bit of a back up in rates the income buyers will come back in. So I'm not overly concerned there and we don't have a large bulk of traditional sovereign mainstream index like money which is I think that's a very difficult market in which to make money. And on standard life I am afraid I'm not going to comment on individual client things. We participated in success with a friend's life acquisition but in terms of standard life whether we do something or not I'm not going to be drawn on that.
Gurjit Kambo: Hi, good morning. Gurjit Kambo J.P. Morgan. Just two questions; firstly, in terms of multi asset I think your flagship fund has done very well. Loss share versus some of this peers but I know your multi-asset offering is a lot more diversified than just one fund. So, to just get some thoughts on where demand is coming in, in multi asset? And second just in terms of your technology spend, how should we think about technology spend to sort of be ahead of the pack in terms of revenue opportunities versus sort of cost rationalization or efficiency?
Peter Harrison: So multi asset yes, you're right it's a very broad church. So it's got things like income products and that's a multi-asset can products which will remain good. Risk mitigation products which again was particularly strong last year. And DG have some growth biased DGF funds, [indiscernible] and all of those areas are performing well. We have increased the range of products in terms of variability of risks so from low risk to high risk rather than just mid risk which is some of the areas of product development. But I think what we've seen is across the piece those areas of being important. The area which I think for the long term where we can really differentiate is around the solution space and what was pleasing to me this was a reason new business is coming in and despite solutions for clients where they come to us with their problem and we answer it. And that's particularly some of the really big regions of the world go through derisking. They are looking at how can we find something which is bespoke to us. And I think in a world of mass personalization that trend we're going to have a large share. And so the big investment we're making in solutions is in advance of that business continuing to grow. Technology spend as -- you're absolutely right. There was a cost and efficiency point in the new revenue piece and there's also a third one which is the Alpha. And I think we spent a lot on trying to being sure that our portfolio managers get good information in front of them in order to make better decisions. So, a big investment and that desktop applications and in our data insights team in building the ability to handle very large data sets on the cloud with new coding languages etc is one part investment. The other is around sort of moving data centers, becoming more secure but also around creating simplicity and in a big chunk of it was a move to going out Jal which enables you to have many, many ore smaller projects and incrementally improving. The big win for loan costs will come as Richard alluded to. Once we have implemented a single accounting book of record and a new front office system. I think we're targeting taking down 170 applications which is really big simplification of our state and I think what we're looking to do is to maintain high spend to really drive home this sort of extra opportunity that we've got in terms of being on the front foot. So most of it is being aimed at costs and simplification, something like robotics is all aimed at cost. But we increasingly -- AI helping us on trading algos etc on decision support. We will become that who will move more into revenue space. And then us and some bits of technology which aren't really technology but rebranding, getting websites more automated so that they are much more responsive to consumer engagement. There was a technology component of that pretty small business that does drive revenue.